Operator: Good morning, and welcome to Loma Negra’s Second Quarter 2021 Conference Call and Webcast. All participants will be in listen-only mode.  After today’s presentation, there will be an opportunity to ask questions. Also, Sergio Faifman will be responding in Spanish immediately following an English translation.  Please note that this event is being recorded. I would now like to turn the conference over to Mr. Gastón Pinnel, Head of IR. Please Gastón, go ahead.
Gastón Pinnel: Thank you. Good morning, and welcome to Loma Negra’s second quarter earnings conference call. By now everyone should have access to our earnings press release and the presentation for today’s call, both of which were distributed yesterday after market close. Joining me on the call this morning will be Sergio Faifman, our CEO and Vice President of the Board of Directors; and our CFO, Marcos Gradin. Both of them will be available for the Q&A session. Before I turn the call over to Sergio, I would like to make the following Safe Harbor statements. Today’s call will contain forward-looking statements, and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. This conference call will also include discussion on non-GAAP financial measures. The full reconciliation to the corresponding financial measures is included in the earnings press release. Now I would like to turn the call over to Sergio.
Sergio Faifman: Thank you, Gastón. Hello, everyone, and thank you for joining us today. First, I hope you and your family are safe and healthy. As usual, I’m going to mention a few highlights of the second quarter, and then Marcos will walk you through our market review and financial results. After that, I will provide some final remarks, and then we will open the call to your question. As you all saw from our release we issued yesterday, we are pleased with the second quarter great performance which was mostly explained by our cement business. It is quite encouraging that the strong momentum experienced in cement sales seen last year, both on continual and it's already exceeding the pre-pandemic level with July posting the highest rate since 2016. Our world class operation enable us to expand our EBITDA by 74% and expand our margin by 483 basis point posting this second quarter since April, as higher operational level and cost control more than offset the impact of higher production during winter months compared to unusual second quarter of last year.  Our adjustment EBITDA in the quarter was for $48 million, $22 million higher than in the same quarter last year impacted by COVID-19 pandemic restriction and $9 million higher when compared to pre-pandemic second quarter 2019 when mentioning U.S. dollar per ton every day increase compared with the same period last year around 28% and standing at $34 per ton. Regarding our capital structure, we have a solid balance sheet with the low net debt ratio of 0.13 times and some debt profile. During the quarter our bottom line was hurt by a one off deferred income tax charge related to recent tax reform. Marcos will elaborate on this later. Finally, in June, we inaugurated new kiln in L´Amalí plant which is now up and running and producing clinker. Full commissioning of the second line is moving towards completion and is now programmed for end of September. I will now handover the call to Marcos Gradin, who will walk you through our market review of our financial results, please, Marcos.
Marcos Gradin: Thank you, Sergio. Good day everyone. As you can see on slide 4, leaving behind the fierce double digit stroke of GDP in 2020 is now expected to be partially recovered by year end. Construction activity measured by the  remain strong and is recovering since last November. In the case of the seventh national industry sales, the recovery was much stronger. Actually, the recover cycle that started in September last year is now starting to exceed pre-pandemic levels of 2019 second quarter of 2021 posted a total volume of 2.8 million tons or 50.5% higher than second quarter reported 22% above second quarter 2018. We're breaking it down by segments both bag and bulk contributed possibility to grow. Naturally bag segments accumulate a longer recovery cycle and is already above 11% in respect to second quarter 2018. On the other hand, bag is still down around 9% when compared to second quarter 2018. Yet it has experienced a sharper recovery year-on-year, as it was the most hit segment by COVID-19 restrictions last year. Consequently, the share of seven bag increase from 22% in second quarter of 2020 to almost 39% in this quarter. We expect this record to remain rather stable on the following month with a moderate bulk recovery, seasonality and some public works activity could factory in. Certainly the economy as a whole still faces different tests, particularly on macroeconomic outlook. Expectation about GDP growth for 2021 revolve around 6.8% recovery definitely far from pre-pandemic levels. Turning to slide 5 for a review of our top line performance by segment. Consolidated revenues year-on-year increased by 46.6%, mainly reflecting the positive momentum experienced by our core seven business. With all segments contributing positively to self recovery. Segment measure on Lime segment was up 43.4% with volumes expanding 39.5% and good pricing performance. Concrete and aggregates both to the standard revenue recovery of 492% and 1,000% year-on-year respectively. Bear in mind that sales in the comparable quarter last year had collapsed due to COVID-19 restrictions. In the case of concrete volume expansion of 584% were partially offset by negative pricing performance. On the contrary, aggregates experienced sharp volume recovery of 620% together with positive pricing mix. Finally railroad revenues increased by 23.5% during the quarter versus the same quarter in 2020. As the higher transported volumes were offset by poor pricing performance due to product mix. Moving on to slide 7 consolidated gross profit for the quarter was up 88% year-on-year with margin expanding by 664 basis points as a result largely driven by our cement business. Seven gross margin expanded by 411 basis points from 38% to 42.1% in the back of higher operational leverage and profiting from cost discipline, yet we experienced some pressure from seasonal energy charges as winter production in 2020 was abnormally low due to the sharp drop in demand including cost initiatives to face last year uncertainty. SG&A expenses as a percentage of revenues decreased by 83% basis points to 8.6% from 9.5% one year ago mainly due to cost consolidation from high gross sales volume, which outweighed higher labor costs compared to last year's level. Please turn to slide 8. Our adjusted EBITDA was up 71.1% in the quarter reaching 4.4 billion Pesos, with consolidated EBITDA margin expanding by 483 basis points to 30.5%. In U.S. dollars our EBITDA reached $48 million or $22 million higher than the same quarter a year ago or $9 million higher than the same quarter in 2018 due to COVID-19 outbreak. Mainly thanks to our core business segment, cement, masonry and Lime with concrete and aggregates contributed in a lesser extent to EBITDA growth. Seven segments adjusted EBITDA margin expanded by 472 basis points or world class 34% mainly due to the decrease in sales volume and cargo cost dilution, both in the gross margin for our second quarter in recent years. In a per ton basis EBITDA increased compared to the same period last year, around 28% and stood at $44 per ton. Concrete adjusted EBITDA increased 81 million Pesos compared to second quarter 2020 explained by lower costs and SG&A in relation to revenues. Yet margins remain negative at 6.8%. Aggregates adjusted EBITDA improved drastically from negative 41 million Pesos in second quarter 2020 to positive 40 million in second quarter 2021 with margin up f 7.7% as a better price of mix and volume outweighed cost increases. Finally railroad adjusted EBITDA margin deteriorated from 7.7% to 4.9% mainly impacted by product mix and partially offset by higher transported volume and lower growth in SG&A as a percentage of revenue. Moving on to the bottom line on slide 10, driven by EBITDA growth, our net financial gain profit before tax stood at 3.3 billion Pesos. In this quarter the bottom line was impacted by the recent tax reform, which increases income tax rate from 30% to 35%, including the suspension of the subsequent rate reduction of 25. This one off effect is equivalent to 3 billion Pesos of additional deferred tax charges, resulting in a net loss of 1.2 billion Pesos. Besides this impact our accumulated net profit for the year, both the positive figures of 1.6 billion Pesos. Total finance gains stood at 292 million Pesos in this quarter compared to a net loss of 1.6 billion Pesos in second quarter 2020 mainly due to a foreign exchange gain of 193 million Pesos in this quarter, reverting a loss of 864 million Pesos in second quarter 2020. As a result of a lower net debt denominated in foreign currency, and a real position of the Pesos. Additionally gain on net monetary position was 552 million Pesos in this quarter compared to 402 million Pesos last year. Finally, our net financial expense declined by 381 million Pesos to 453 million Pesos compared to same quarter last year driven by lower net financial debt. Moving on to the balance sheet. As you can see on slide 11 we ended the quarter with cash position of 2.9 billion Pesos and total debt at 5.4 billion Pesos. Consequently, our net debt to EBITDA ratio stood at 14 times compared to 0.16 times at the end of 2020. In this quarter, we reduce our debt in $21 million, standing at $56 million 83% of which is eliminated in U.S. dollar. Additionally, we repurchased share for a total amount of 111 million Pesos. During the quarter our operation consideration was almost fully dedicated to income tax payments, and seasonal working capital requirements. As always, in the second quarter previous year's income tax payments are scheduled. Particularly in this quarter, the tax payment of 3 billion Pesos included 1.5 billion Pesos charge related to last year's divestment Paraguay . When compared to last year second quarter we need to bear in mind that in 2020 working capital levels include several initiatives aiming to preserve liquidity under the pandemic uncertainty. Regarding capital expenditure, which spent 1.6 billion Pesos 22% of which were allocated to L’Amalí expansion project. As the second line is to be completed, so are the capital requirements. Now for our final remarks, I would like to handle the call back to Sergio.
Sergio Faifman: Thank you, Marcos. Now to wrap up the presentation, I please ask you to turn to slide 13. As we expect cement demand recovery from last year's volume to continue, we foresee an expansion compared to pre-pandemic level of 2019. For the second half, both seasonality and public works could play an important role. Yet, we are cautious, as macroeconomic context could affect the recovery. At this point in time, impact relative to COVID seems more distance. However, we remind what's full to evolution of the new variance, both locally and globally. After inauguration in June, the brand new kiln in L´Amalí has starting to produce clinker and it's already contributing to our world class operation. Additionally, the new cement mill and dispatch center are planning to start up by the end of September. As we recently communicated, and in line with our expectation, a new open access scheme will rule in Argentina railroad network and  concession will not be extending beyond the original expiration date of March 2023. Detailed guide regarding the new scheme are not yet available. Therefore, we are analyzing different scenarios, none of which should have a material impact on our current businesses and where the most probably is to become an operator continue the current operation. Last but not least, I would like to thank all our people and stakeholder for the commitment to Loma’s operational excellence without whom this set of solid result have been much harder to achieve. We are confident that supported by a robust and efficient productive footprint our solid capital structure under the guided team Loma has the base to continue thriving in the year to come. We are now ready to take question. Operator, please open the call for question.
Operator: Thank you. And we will now conduct a question and answer session.  And our first question today will come from Alberto Valerio with UBS. Please go ahead.
Alberto Valerio: Hi, Sergio and Marcos, thanks for taking my question. I would like to know about the dynamics in Argentina, the impression that we had here, which always made me know that the second quarter its seasonally weaker than the first one, but we estimate that decelerating relative to the first quarter. And with the preliminary data from July looks like Argentina is facilitated, accelerating again. So my question is, this is true the second quarter come a bit weaker than the strong first quarter. And with this, we can expect to recover in the second half of the year? Thank you.
Sergio Faifman: So you're speaking about margins or about volumes?
Alberto Valerio: About margins. I think the volume come as expected, but I think the price can a little bit below what we expect. So overall, the EBITDA that I was expecting was a little bit higher than what come because we saw a very strong first quarter?
Marcos Gradin: Hi Valerio, thank you for your question. 
Sergio Faifman: So, typically, during winter months there's a seasonality effect on our production costs.
Marcos Gradin: 
Sergio Faifman: Additionally, when compared to the last year, we produce a very much lower amount of cement and including a lower price of gas derived from the pandemic situation.
Marcos Gradin: 
Sergio Faifman: Additionally, by this time of the year, we were expecting to be producing clinker with a new kiln in L´Amalí plant which ended up starting in June. So the benefits were not collected in the second quarter and we still producing, we were producing in the  plant.
Alberto Valerio: Perfect. Thank you very much. If you could just provide a follow up, call for the second half of the year should we see the active accelerating again?
Marcos Gradin: 
Sergio Faifman: So, yes, as you may saw on the AFCB reporting, July numbers were very good and actually they were the second best July in history.
Marcos Gradin: 
Sergio Faifman: And the first day base of August and also there what we foresee for the remaining of the year are quite optimistic.
Marcos Gradin: 
Sergio Faifman: Forecasting for the full year for the industry numbers above the 2019 pandemic levels.
Operator: Next question will come from Carlos Peyrelongue with Bank of America. Please go ahead.
Carlos Peyrelongue: Thank you. Thank you Sergio and Marcos for the call. My question is related to the new kiln in L’Amalí and the expansions. Can you comment on the expected margin expansion once you're up and running and provide some timing as to when you think this new kiln will contribute to margin and we will remain operating smoothly? Thank you.
Sergio Faifman: Thank you for the question.
Marcos Gradin: 
Sergio Faifman: So, the numbers of the market will not only depend on the demand volumes, but also the cost of the energy.
Marcos Gradin: 
Sergio Faifman: Why we're saying that because the kiln in L´Amalí plant is much more efficient then the kiln in Olavarría, but there are also many other factors playing in.
Marcos Gradin: 
Sergio Faifman: So the efficiency of the new kiln regarding the specific consumption is around 10% better than the Olavarría kiln and we are now analyzing if it's better to run during the summer with summer costs of energy or during the winter with using PetCo and naturally higher energy costs.
Marcos Gradin: 
Sergio Faifman: So, now we are running the kiln and it's already working above the guarantee levels. And we are now planning to produce with this levels.
Carlos Peyrelongue: So a follow up on this. So the margin expansion that you mentioned, assuming that the things are running smoothly, and we'll have major surprises on the cost side is 200 to 300 basis points on margin, on a consolidated basis. Is that correct?
Sergio Faifman: Yes. That's correct. 2% to 4% of margin increase. 
Carlos Peyrelongue: Thank you so much. Appreciate it.
Operator: And our next question will come from Nikolaj Lippmann with Morgan Stanley. Please go ahead.
Nikolaj Lippmann: Thank you. Good morning gentlemen. Good morning, everyone. And ongoing congrats on good numbers. Two questions, or one question, I guess I'm allowed to so I'll break it into to one. I was wondering if you can give a bit of details on asset allocation given the change in the concession, if you're thinking about a bit of a plan B, maybe expanding your fleet, your fleet of trucks in case that there could be some disruption? And also, so the second part of the question would be how do you guys feel about aggregates in Argentina these days? Thanks. Thanks a lot. Thanks for taking my question.
Sergio Faifman: Nikolaj could you repeat the questions because we can't hear you the first part? Sorry.
Nikolaj Lippmann: Sorry about that. My question relates to whether you got as the rail concession comes to an end and of course, every time that happens, there is a certain amount of risk associated with the new framework. Are you considering increasing? You have a very strong balance sheet? Are you considering buying a bit of increasing the fleet for logistics in case there's any sort of disruption? And also how are you seeing the aggregate market? Is that something that you're looking at in terms of possible use of cash making acquisitions in that space?
Sergio Faifman: Hi Nikolaj, thanks for your question.
Marcos Gradin: 
Sergio Faifman: So regarding the railroad we do not foresee cost increases from now on.
Marcos Gradin: 
Sergio Faifman: Initially, we're planning to keep our operation as an operator in those tracks.
Marcos Gradin: 
Sergio Faifman: So, yes, besides the fact that yet there are no details from the government regarding Canon and other factors, we expect either to maintain or to even increase regarding the lower CapEx requirements.
Nikolaj Lippmann: Got it. Can you comment on whether you are seeing any opportunities in the aggregate market in Argentina?
Marcos Gradin: 
Sergio Faifman: So, we're not thinking on expanding on the aggregate business, but we are increasing margin thinking on what happened during the pandemic.
Marcos Gradin: 
Sergio Faifman: So one important point regarding the railways, we are considering L’Amalí 2. We have an advantage, yes, because an additional advantage, because we are not going to rely that much on Loma and we're going to increase the dispatch capacity from L’Amalí 2.
Nikolaj Lippmann: Got it. Thanks a lot guys. 
Operator: And our next question will come from . Please go ahead. 
Unidentified Analyst: Hi, good morning and thanks for taking my question and for the presentation. So going back to the estimate for the cement shipments for these years so the construction sector is interest dynamics, as you were talking about, and many attributes these to the FX gap. So what do you think is behind the recovery as our first question? And then as a second question, do you think that bulk cement will be covered with pre-pandemic levels during this year? Thank you.
Sergio Faifman: Hi, Augustina. Thank you for the question.
Sergio Faifman: So there are no doubts that the gap between the FX rates it has an impact on demand.
Marcos Gradin: 
Sergio Faifman: We also observe an increasing in public works especially small public works, while larger public works are still hampered.
Marcos Gradin: 
Sergio Faifman: And we also observe our consumer behavior to expand the places where they live. And this is arbitrary driving demand.
Marcos Gradin: 
Operator: Pardon me everyone. It appears that our speaker has disconnected. Please wait while we rejoin them. 
Sergio Faifman: Sorry, we're having a small technical issue. We're going to be back in two minutes. Sorry for that.
Operator: And pardon me. I've rejoined the speakers.
Sergio Faifman: Thank you. So when we observed July, yes, we observed that we are above pre-pandemic levels. Then when you take a look to both, it's a slightly lower than 2019 and back is slightly higher than 2019.  And we are already with both volumes closer to 40% of total market volumes.
Operator: Thank you. And our next question will come from Alberto Valerio with UBS. Please go ahead.
Alberto Valerio : Thank you. Thank you for taking my question again Sergio and Marcos. Just another one now about dividends. You know that Argentina remain with the restriction of capital. And my question is how further can you guys go with the buybacks?
Sergio Faifman: Sorry Alberto. Are you asking about the buyback?
Alberto Valerio : Yes, how much more you can do it.
Sergio Faifman: The volume that we are applying for the second line of program is what we are allowed to do in the local markets. Yes. So in the fall of $2 million per month. That's the one that we are achieving. We spent almost 5 million in the year and quarter.
Alberto Valerio: Perfect. And then for how long can you keep doing the buyback? There is a limit or it's the limits doing well?
Sergio Faifman: The limit is 10% of total capital of L’Amalí, plenty of room.
Alberto Valerio: Perfect. Thank you.
Operator: And this concludes our question and answer session. I would like to turn the conference back over to Gastón Pinnel for any closing remarks.
Gastón Pinnel: Thank you for joining us today. We appreciate your participation and your interest in our company. We look forward to meeting more of you over the coming months and providing financial and business updates next quarter. In the meantime, the team same remains available to answer any questions that you may have. Thanks again and stay safe.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.